Kenneth Hsiang: Hello. I am Ken Hsiang, the Head of Investor Relations for ASE Technology Holding. Welcome to our first quarter 2020 earnings release. Thank you for attending our conference call today. We are again unable to have our earnings release in our typical live format. We, like the rest of the world, continue to remain cautious in regards to minimizing the spread of COVID-19. Please refer to our Safe Harbor notice on Page 2. All participants consent to having their voices and questions broadcast via participation in this event.  Please refer to our safe harbor notice. I would like to remind everyone on this call that the presentation that follows may contain forward-looking statements. These forward-looking statements are subject to a high degree of risk, and our actual results may differ materially. For the purposes of this presentation, our dollar figures are generally stated in New Taiwan dollars, unless otherwise indicated. As a Taiwan-based company, our financials are presented in accordance with Taiwan IFRS. Results presented using Taiwan IFRS may differ materially from results using other accounting standards.  For today, I will be going over our business update and financial results. Afterwards, we will have a Q&A session with Joseph Tung, our CFO.  In late March, China's Anti-Monopoly Bureau notified us that we have successfully demonstrated our compliance with our 2-year restricted collaboration period with SPIL. We can now finally have unrestricted communication and collaboration between SPIL and ASE. This is the culmination of a series of efforts which began in 2015. Discussions on the various aspects of coordination have started, but there is plenty of work ahead of us. We believe that this combination will lay the groundwork for improved operating efficiency, lower overall costs and top line synergies.  Needless to say, this quarter has been very dynamic. In the 3 months since our last earnings release, the world has become a vastly different place. 3 months ago, the focus of the world was on the impact of the spread of COVID-19 within China and the continuity of goods coming out of China. We hypothesized that the rest of the world would realize the dangers of such a virus and would take swift action to contain any potential spread. As such, we focused primarily on the supply side and logistical impacts to our China factories.  To that end, I'm happy to report that our China factories have all returned to full staffing. However, our hypothesis of contained spread has failed to come true. As a result, we must now adjust to more pessimistic scenarios in which COVID-19 has a more substantial impact.  We have been following the many top-down industry reports that have generally grown more and more pessimistic over the last 2 months. It seems that when the overall environment is generally upbeat, industry reports race to be the most optimistic. And now the inverse is true, with reports racing to be the most pessimistic.  The global supply chain is mature and resilient and often built with significant redundancies. Aside from our China factories, which experienced labor shortages during the early part of the quarter, our factories have been running relatively smoothly. Some of our factories are working under government-imposed work rules, but by and large, such disruptions are being managed, and their overall impact remains relatively limited.  We also continue to see spotty supply chain issues on a variety of components and supplies. However, we believe the majority of these issues are resolvable. We currently do not see any immediate major disruptions to our business.  For the first quarter, our ATM business outperformed our initial expectations. We believe that because Taiwan was able to control COVID-19 relatively early, we were able to take on customer upsides. Our EMS business underperformed our initial expectations as it experienced downstream supply chain issues. This disruption was resolved during the quarter. We believe, as a result of this, some of our EMS revenue has been deferred from our first quarter to our second quarter.  Please turn to Page 3, where you will find our first quarter consolidated results at the holding company level. Generally speaking, given this is our seasonally down quarter, sequential comparisons may not adequately reflect the performance of the company. We will generally defer business explanations of these results to our ATM and EMS P&L discussions. Intercompany transactions between our ATM and EMS businesses have been eliminated during the consolidation.  For the first quarter, we recorded fully diluted EPS of $0.89 and basic EPS of $0.92. Consolidated net revenue was $97.4 billion. This represents a 16% decline quarter-over-quarter and a 10% improvement year-over-year. We had gross profit of $16.2 billion, with a gross margin of 16.6%. Our gross margin declined by 0.5 percentage points quarter-over-quarter, while improving 3.8 percentage points year-over-year.  The sequential decline is primarily the result of seasonal loading. The year-over-year increase in gross margin is primarily the result of stronger ATM loading and higher ATM revenue mix. Our operating expenses decreased by $1.1 billion during the first quarter to $10.1 billion. This was primarily the result of lower operating expenses in both our ATM and EMS business units. Some of our operating expenses are not variably driven by revenues. And as such, despite the absolute dollar decline, our first quarter operating expense percentage increased 0.8 percentage points sequentially and 0.2 percentage points year-over-year to 10.4%.  Sequentially, operating margin declined by 1.3 percentage points to 6.2%, while being up 3.6% year-over-year. Our sequential operating margin decline is principally the result of lower revenue from seasonality. Our year-over-year improvement in operating margin is primarily related to higher loading. During the quarter, we had a net nonoperating loss of $0.8 billion. This amount includes net interest expense of $0.9 billion. This amount was offset in part by net foreign exchange and financial gains and losses.  Tax expense for the quarter was $1.2 billion, the effective tax rate for the first quarter was 22.4%. We expect a 23% effective tax rate for the first half of the year. For the entire year, we expect an effective tax rate of between 20% to 24%. This would be inclusive of our undistributed earnings tax. Net income for the quarter was $3.9 billion, representing a decline of $2.5 billion sequentially and an improvement of $1.9 billion year-over-year.  On the bottom of the page, we have, again, provided here key P&L line items without the inclusion of PPA-related expenses. Consolidated gross profit, excluding PPA expenses, would be $17.2 billion with a 17.7% gross margin. Operating profit would be $7.4 billion with an operating margin of 7.6%. Net profit would be $5.2 billion with net margin of 5.4%. Basic EPS, excluding PPA expenses, would be $1.23. On Page 4 is our ATM P&L. It is worth noting here that the ATM revenue reported here contains revenue eliminated at the holding company level related to intercompany transactions between our ATM and EMS businesses. For the first quarter of 2020, revenues for our ATM business were $66.2 billion, down $3.1 billion from the previous quarter and up $11.8 billion from the same period last year. This represents a 4% decrease sequentially and a 22% increase year-over-year. Our ATM revenues came in ahead of our expectations due to stronger-than-expected demand, driven primarily from forecast upsides.  Gross profit within ATM were down $2.4 billion quarter-over-quarter and up $4.9 billion year-over-year to $13.3 billion. The sequential gross profit decline is due to lower loading in a semi-fixed cost environment. The year-over-year gross profit improvement is primarily driven by higher loading.  Gross profit margin for our ATM business was 20.1%, down 2.6 percentage points sequentially, while up 4.6 percentage points year-over-year. Margin declined sequentially is the result of lower seasonal loading and NT dollar appreciation. We estimate that NT dollar appreciation had a 0.9 percentage point negative impact to gross margins. Margin improvement year-over-year is primarily attributable to higher relative loading and a higher mix of test revenue.  During the first quarter, operating expenses were $7.8 billion, down $0.6 billion sequentially and up $0.9 billion year-over-year. The sequential decline is driven by lower overall operating expenses led by lower R&D expenses. The year-over-year increase is primarily related to increased R&D and administrative expenses.  Our operating expense percentage was 11.7%, down 0.3 percentage points sequentially and down 1 percentage point year-over-year. During the first quarter, operating profit was $5.6 billion, representing a decline of $1.8 billion quarter-over-quarter and an improvement of $4 billion year-over-year.  Operating margin was 8.4%, declining 2.2 percentage points sequentially and increasing 5.5 percentage points year-over-year. Without the impact of PPA-related depreciation and amortization, ATM gross profit margin would be 21.7% and operating profit margin would be 10.4%.  On Page 5, you'll find a graphical presentation of our ATM P&L. On Page 6 is our ATM revenue by market segment. Overall, not much has changed in the mix of our revenue. There is a slight move towards automotive, consumer products and others with computing slightly down from its seasonal peak in Q4. On Page 7, you will find our ATM revenue by service type. During the first quarter, our revenue mix continues to transition towards bumping, flip chip and SiP. We continue to expect our test business to outgrow our assembly business as we continue to expand our turnkey business model.  On Page 8, you can see the results from our EMS business and its associated revenue by application. During the first quarter, we had revenues of $32.7 billion, representing a decline of $16 billion or 33% sequentially and a decline of $2.2 billion or 6% year-over-year. EMS revenues declined quarter-over-quarter, primarily because of business seasonality. EMS revenues declined year-over-year, primarily as a result of downstream supply chain issues related to COVID-19.  Our EMS gross profit was $3 billion, declining $1.3 billion sequentially, but improving slightly year-over-year. The sequential gross profit decline was driven primarily by business seasonality, while the year-over-year improvement is the result of beneficial product mix. Gross profit margin for the EMS business unit came in at 9.3%, an improvement of 0.4 percentage points sequentially and 0.9 percentage points year-over-year. These improvements are primarily driven by product mix.  Our EMS business unit's operating expenses closed the quarter at $2.3 billion, declining $0.5 billion sequentially and increasing $0.1 billion year-over-year. Operating expenses declined sequentially due to lower labor costs and administrative costs. Operating profit for the quarter was $0.8 billion, representing a $0.8 billion decline sequentially and a $0.1 billion improvement year-over-year. The sequential operating profit decline is primarily due to seasonality, while the year-over-year improvement is due to lower operating costs.  Our operating margin came in at 2.4%, which is a 0.8 percentage point decline sequentially and a 0.3 percentage point improvement year-over-year. The sequential decline is primarily the result of seasonally down revenue, while the year-over-year improvement is the result of product mix. On the chart on the bottom half of the page, you will find a graphical representation of our EMS revenue by application. Our communications segment dropped off on a percentage of total basis from its peak season in Q4. Aside from communication, most movements were relatively small on a dollar basis.  On Page 10, you will find key line items from our balance sheet. At the end of the quarter, we had cash, cash equivalents and current financial assets of $79.4 billion. Our interest-bearing debt increased $14 billion to $229 billion. Total unused credit lines amounted to $241.6 billion. Our EBITDA for the quarter was $19.1 billion. Over the next 24 months, we are looking to reduce our net debt-to-equity ratio down to around 60% to 65%. And to do this, we'll be primarily focused on monetizing components of our balance sheet and lowering capital equipment investment.  On Page 11, you will find our equipment capital expenditures. Machinery and equipment capital expenditures for the first quarter in U.S. dollars totaled $410 million, of which $237 million were used in packaging operations, $156 million in testing operations, $15 million in EMS operations, and $2 million in interconnect material operations and others.  Given that business for the back half of the year appears a bit more uncertain than usual, we are cautiously monitoring our capital expenditures, especially expenditures related to expanding existing capacities. However, capital expenditures for our business are not just meant to address the oscillations related to current year demand. For us, much of our capital expenditures are meant to address our technological road map and positioning for the new demand over the next 2 to 3 years, strategic capacities related to advanced packaging such as fine-pitch bump, fan-out and SiP need to continue. At this time, we believe the amount of CapEx for this year still to be similar with last year, but we are ready to make adjustments as needed.  I think we showed that we delivered a decent first quarter. But in light of the macro calls for Kaohsiung, the following statement may be somewhat unexpected. Most of our customer forecasts have not had significant downward revisions as a result of COVID-19. And it follows that pretty much all of our customers believe they will have significant product ramps during this year. This is because electronics comes out with a new and an improved product every year. And in order to do that, new and improved semiconductor chips have to be made each and every year to enable those new features. This is at the very core of electronics. Every season, you come out with something new, virus or not.  Our customers will build new products and for the most part, cannot make a determination of sell-through until their products or their customers' products start selling. So in this challenging environment, our customers must secure capacity with lowest product risk. Seemingly small or insignificant components of a manufacturing supply chain can become a bottleneck and make the difference between having parts to sell or losing share to your competitor. In this environment, customers reach out to the largest and most capable player, ASE.  And of course, we understand that demand can be there one moment and not the next. We are exercising extra care in regards to capital expenditures, especially as it relates to capacity expansion as versus technological innovation. We're also closely monitoring the timing of various key product launches and how they coincide with our available capacity.  We're also holding back expenses and tightening our belts across all of our factories as we speak. We do understand the unusual nature of COVID-19 and that this is the first time that world economies have all paused within a few months of each other. What will ultimately happen in the next few months as these economies restart? How much demand is pent-up as versus delayed or outright canceled? And if that's not enough, how will geopolitical situations fair? We do not believe we are in a position to know. These are exogenous variables outside of our immediate control. Our focus is on our ability to serve the longer-term industry trends. We need to invest in the capacities, which will serve the trends and underlying technologies that will rise after this whole thing settles down.  For example, we are confident that the need for additional bandwidth has only increased as learn and work from home become more prevalent. The need for processing power continues to grow. Ultimately, technological advancements like 5G will propagate. For us, semiconductors are becoming more and more advanced as I/O and transistor densities drive new generations of semiconductor packaging and testing forward. System-level requirements of SiP are also increasing as customers move more system-level functions into the package. Technological progress also drives additional outsourcing for us.  From how we see it, these concepts are much more about when and not really about if. Most importantly, all of these factors are good for ASE. With that said, we do want to mention our synergy expectations as it relates to SPIL. We still believe that we can put in motion the actions that will generate synergies by combining our efforts. These synergies are intricately tied between revenue and expenses. And the strategic positioning of each of our sites. These actions are being taken. However, given the overall economic uncertainties during the back half of the year, the overall time line for these financial impacts to take shape may end up stretching out past the current year. From our current first half view, we currently see SPIL synergies as a significant portion of why we will achieve significant margin growth during the first half of 2020.  To that extent, we continue to expect to increase beyond the 2 percentage points of operating margin promised during the first half of the year. However, back half visibility of our business is limited. And as such, we also have limited capability to quantify our synergistic impacts during this time frame. Due to the impact of COVID-19 outbreak, our outlook continues to be subject to a higher degree of risk. The information provided is done so as a reference of our current view as of the date of this presentation. Our business, financial condition and results of operations are of greater adverse risk. And as a result, there may be a higher likelihood of material variances between our expected and actual results.  So for our ATM business in NT dollar terms, ATM second quarter 2020 business should be similar with third quarter 2019 levels. ATM second quarter 2020 gross margin should be close to third quarter 2019 levels. For our EMS business in NT dollar terms, EMS second quarter 2020 business should be above first quarter 2019 levels. EMS second quarter 2020 operating margin should be slightly above first quarter 2019 levels.  And now for a question-and-answer session.
Operator: [Operator Instructions]. The first to ask question, Bill Lu from UBS. 
William Lu: I would like to start with the ATM business. It was up really nicely in 1Q. I if I'm doing the math correctly, I think Q2 is up maybe another 15% or so year-on-year. I'm wondering if you could talk about, first of all, if you look at the OSAT business, what is the industry year-on-year growth this year? I think TSMC has said that foundries will be up high single digits. I'm wondering what is that outlook for the back end?  And then secondly, if you look at this really strong growth for ASE year-on-year, how much of it is share gains? And how much of that is sustainable into the second half of the year?
Joseph Tung: Well, as we set out in the beginning of the year, we're seeing -- we're expecting a fairly strong year for 2020. But of course, there's a lot of uncertainties in front of us, including the pandemic and also a lot of the geographical tension that could arise in the future. So as far as first and second quarter, we're still seeing the seasonal pattern continuing. And -- but for the second half of the year, I think there are too much -- too many uncertainties in front of us. So we're refraining ourselves from making any comments on the second half.  As a whole, I think the whole industry momentum remains the same. I think the 5G deployment and also a lot of the new application coming on stream will continue to be the growth drivers for the future. So at this point, we're still -- we are still investing for the longer term, but not just focusing on the short-term impacts for whatever that's happening at this point.
William Lu: If I can ask maybe a little bit more specifically, if you look at Q1, up 20% year-on-year, how much of that do you think is share gains?
Joseph Tung: I think that's very, very difficult to answer, but I think the -- given our scale and also the broader exposure to all different segments of the industry, and particularly, we are very fairly strong in -- positioned in the 5G arena. I think the -- I won't be surprised if there's share gain. Actually, in the first half -- in first quarter, there is some order transfer from other regions to us. I think when the time gets tough, customers will go for the strongest player to secure their supply.
William Lu: Okay. My second question is on CapEx. Ken talked about maybe bringing down the debt-to-equity ratio and having some flexibility on the CapEx side. I know you're saying and you're maintaining CapEx at a similar level to 2019. But can you just talk a little bit more about if you look at the overall CapEx, how much of it is the capacity buys versus the technology buys?
Joseph Tung: I think it's...
Kenneth Hsiang: 40-60.
Joseph Tung: I think it's about 40-60 split. I mean, a lot of the -- I think 40% of the CapEx is really technology-driven and also some project-driven, particularly in the SiP area. For the rest, it's basically maintenance as well as investing for added capacity to meet the demand.  And I think on this, in the past 3 -- past 2 years plus this year, we're seeing pretty aggressive CapEx spending given the -- we're seeing the industry movement and the necessary CapEx to be put in for capacity as well as for technology advancement. I think this investment will start to pay off. And going forward, as we can better communicate or align with SPIL, I think the greater scale the added manufacturing flexibility, capacity sharing, better CapEx alignment will allow us to better manage our CapEx going forward. And we are expecting, by more efficient CapEx investments, we will be able to generate more cash flow to bring down our overall leverage. And therefore, we are setting a 24-month target to bring down our overall leverage.
Operator: Next to ask question is Randy Abrams from Crédit Suisse.
Randy Abrams: Okay. Yes. I wanted to follow-up a bit on Bill's questions on the CapEx and what you're doing with the balance sheet. Could you elaborate a bit more when you mentioned monetize the balance sheet assets, what the potential is there, what you're thinking on that side? And from the CapEx, is there a way to think about kind of a range, whether it's a percent of the CapEx or the dollar amount that you're looking at for a year out from now. Because one scenario we're coming out of the virus and then it's picking up. If you really have a way to pull down CapEx, say, 1 to 2 years further out. But I'm curious on both of those this if you have numbers on what could be possible?
Joseph Tung: I think we mentioned that both the CapEx for technology advancement, also for some of the projects that are ongoing and some of the new products -- new projects that are coming on stream we will keep those CapEx intact, and we'll continue to make the necessary investments for these longer-term prospects. But for the capacity -- purely for capacity or for maintenance I think it really -- we will keep it flexible and dynamic, depending on the market situation.  At this point, it's very difficult to put a dollar amount on it because the extremely limited visibility, particularly in the second half. I think the pandemic situation will definitely have a short-term impact on the overall -- in terms of demand, in terms of the overall logistics issues that may arise. And also it could have some impact on some of the -- or creating some of the delays on the product launches. So all things put together, I think making second half a very, very difficult period to predict how things will shape up. And we will just go back step-by-step to see how the situation changes and make our adjustment on our CapEx.
Randy Abrams: Okay. And if I could follow-up on that, the SPIL synergy. I think you mentioned but I wanted to clarify that first half, I think you mentioned something a 2-point operating or maybe it's an OpEx synergy. Could you talk about the base or just clarify what the base is like on that 2 point, if it's an OpEx or an operating margin improvement? And I guess the other part was the balance sheet asset. What you meant by monetizing kind of bring down working capital or there's other assets you might go to monetize?
Joseph Tung: I think the -- in terms of the margin improvement, I think it's an overall target that we have, we set out for ourselves. That includes the margin expansion coming from loading increase and also from some of the synergies that we can create from alignment with the -- with SPIL. And we see -- we actually exceeded our target for the first half. We're expecting to exceed our target for the first half of the year. And if all things being equal, if the things continue to go without too much disturbances, I think for this whole year, the target is -- we should be able to reach the target for this year. That includes some of the synergies that we are creating from SPIL.  I think the -- on this front, we have already started some of the collaboration programs, including procurement, including CapEx alignment, capacity sharing. And some of the joint R&D road map alignment. I think a lot of the areas that we can create some value for us. And I think the aim is not just solely for integration of the 2 companies, it's really through a lot of collaborations to create additional value or to reduce -- increase our efficiency and therefore, to reduce costs. I think all these benefits will be shared with our customers and therefore, making the combined entity a much more competitive entity going forward. And I think the second part of your question is the component of our assets?
Randy Abrams: Yes. I think you mentioned two things. It was over 24 months, CapEx could come out and you also focused on monetizing balance sheet assets to generate cash?
Joseph Tung: Well, I think, by and large, we are still expecting -- we're still hoping that we can generate internal cash flow so as to fund the deleveraging. But if we -- if there's any -- but on top of that, I think monetizing some of our investments may be another alternative for us to generate the needed funding for deleveraging as well. So right now, we're not -- there's nothing specific that we like to report, but we'll just see how things will shape up and we will decide what is the best assets for us to monetize and at what point in time.
Operator: Next we're having Roland Shu from Citigroup.
Roland Shu: This is Roland Shu from Citi. I think first question is I think I probably had missed what you said about this synergy target. You continue to make a balance in synergy targets. So can you remind me again what are these synergy targets you meant for?
Joseph Tung: Synergy target?
Roland Shu: Yes.
Joseph Tung: Are we talking numbers?
Roland Shu: Yes. Do you -- that is on your numbers or is this on your other targets? I just did not get it, yes. So please remind me again.
Joseph Tung: Okay. As I said, we are initiating some of the programs that we have including procurement, including CapEx alignment, capacity sharing if customer request. We are also aligning our R&D efforts to better utilize our resources in the R&D area. All these programs should create some of the -- create synergies for us to benefit. But there is no dollar amount. I'm just saying that with the overall -- on both the -- on the top line as well as on the cost side, we are setting a target of a margin improvement of 2% going forward. And as I said, in the first half, we are expecting to achieve that. Second half, there's a lot of uncertainty there is. But in the longer term, I think all these efforts that we are putting in should help us to reach that target or if not to exceed that.
Roland Shu: Okay. And you have this 2% synergy target in operating margin profit above it. How about for -- I'm sorry, apologies, gross margin? How about for operating margin point of view? Do you have any target for this synergy?
Joseph Tung: I think I'm mainly talking about ATM operating margin, as mentioned. 
Roland Shu: So you said 2% is ATM operating margin improvement?
Joseph Tung: Yes. But that's the overall, including synergy can be created. That's not the synergy margin.
Roland Shu: Understood. Yes. Okay. Then for your overall second quarter guidance. I mean, in first quarter, at that time, you expect you will have a slightly dip in first quarter and will be followed by a strong quarter-over-quarter growth through end of this year. So if you look at your second quarter revenue guidance compared to what you thought in January, do you think the growth in second quarter you guided now is as strong as you expected back to January?
Joseph Tung: I think first and second -- first quarter was actually stronger-than-expected because there were some uptick in the final demand from our customers. Also, there is some order transfer because of the difficulty created happening in other regions. And I think a lot -- also, I think the -- when -- as I mentioned when situation becomes a bit more difficult, our customers tend to go for the strongest player to better secure whatever they need. So all things put together, we actually have not only better-than-seasonal first quarter, but also better-than-expected first quarter for us as well. And I think the same pattern goes into second quarter. We did not bring down our expectation for second quarter from beginning of the year, and things are moving on track at this point. But having said that, we are also saying that going into second half, things becomes much more muddier, and have extremely limited visibility because of the pandemic situation. Whether that will have an impact on the overall demand or having some logistic issues being created, all things -- there are a lot of uncertainties in front of us. So we are not making any comments on second half at this point.
Roland Shu: Okay. So this strong quarter-over-quarter growth to end of this year, this is probably not valid anymore?
Joseph Tung: I wouldn't say that. I'm just saying, we're not commenting on this.
Roland Shu: Okay, yes. Okay. My next question is for EMS. Can I just say, there was some EMS revenue just to defer from first quarter to second quarter. And now you guided your second quarter EMS revenue is similar as of first quarter, last year level. So I would like to say to add how much of this EMS revenue is deferred from first quarter to second quarter?
Joseph Tung: I don't have a dollar amount for it, but we can say that in first quarter, we expect -- we experienced more disruptions than we were expecting, not just on the staffing in our China operation law. There are also other logistics difficulties that we faced. So we assume -- we think that some of the orders were being pushed out to the second quarter. So if you look at our past EMS business pattern, second quarter is either down or -- from first quarter -- either down from first quarter or stay relatively flat. But this time around, you're seeing our second quarter showing stronger than normal quarterly growth. So we are assuming that some of the orders that were originally were given to -- first quarter is being pushed out to second quarter.
Roland Shu: Okay. Okay, understood. And also for your first quarter EMS, gross margin increased because of the product mix change and look at on your product mix, you have lower communication business and with a higher computer and storage part. So can we assume, for your communication business -- EMS business actually is carrying a lower gross margin.
Joseph Tung: You're saying the second quarter or...
Roland Shu: No, I'm talking about the first quarter.
Kenneth Hsiang: Roland, there's a lot of things that go into what the profitability of any particular factory. Some of that has to do with loading, et cetera. So maybe in this particular situation, in this particular first quarter, how it panned out, that's kind of how it looks, right? But I wouldn't say this is always the case. So I don't think you can make that particular assumption at this time.
Roland Shu: Okay. But you said previously for your prepared remark, you said the higher gross margin from EMS was mainly due to this product mix change. So that actually made me to think this way, yes. So you think, they also have some factor for this different loading.
Kenneth Hsiang: It's in the products that we're doing, I wouldn't say that you can compare that across different quarters and such. But in our opinion, that's -- it is the product mix shift that did give us some impact to the overall margin movement. And the margin movement actually was not that materially significant.
Roland Shu: Okay, understood. And lastly, for your EMS revenue, for the whole year, are you expecting the whole year EMS revenue to increase or to flat or decrease this year?
Joseph Tung: Again, we are not giving out full year -- we're not commenting on our full year.
Operator: Next to ask question, Bruce Lu from Goldman Sachs.
Zheng Lu: First, I want to ask about the SiP. Your management is guiding for like additional $100 million to $200 million more on revenue for SiP, starting from this year. Can we have more granularity about like what kind of SiP project is maybe ready. And what kind of profitability we can expect for this new SiP project.
Joseph Tung: I think, the target of $100 million increase in terms of SiP revenue remains the same. And by the thing -- by the way it's going, I think, the -- this year, we will, again, exceed that target. In terms of our portfolio, right now, from both EMS as well as ATM, we are having -- we're currently having roughly 15 projects old and new continue to -- we still have these multiple projects that are on hand. And we'll continue to work on these projects. And I think, the overall profitability of these projects are in line with the corporate average at this point. And I think, everything is going as planned. Although, going into second half, I think, these projects will continue, but then the timing of it may have some changes, but that remains to be seen.
Zheng Lu: So the target for additional $120 million, assuming no changes in terms of the product launch? Or you already factored that in?
Joseph Tung: Well, we're talking about new revenue -- from -- project from new revenue?
Zheng Lu: Yes, yes.
Joseph Tung: So these are from new ones.
Zheng Lu: So this ones are new. I see. Understand. So do you -- you have mentioned it again, I want to double check, if I'm understanding this correct, your profitability for the new SiP project is in line with the existing profitability for both EMS and ATM business?
Joseph Tung: Yes.
Zheng Lu: Okay. Okay. Again, I want to double check that. Do you feel still reiterate the operating margin to be more than -- the target for operating margin for 4% for EMS business for 2020. Does that remain...
Joseph Tung: It's 4%. 4% remains to be the target. But I think, given the situation that we're in, I think, it's going to be very, very tough for this year for us to reach that target. I think, there's a lot of variables in front of us. And at this point, it's very, very difficult to predict.
Zheng Lu: I see. Understand. Okay, lastly, on the panel-level packaging. Both of your competitors are talking of all that. Their production yield has reached to the wafer level, packaging level and they are expecting to ramp up the mass production. So what's your current status for the panel level packaging?
Joseph Tung: It's still under development. And I think, whatever we have at this point, in terms of the progress of this panel, I think, we are still moving ahead -- moving along. And we are not expecting -- I think, this is more of a 2021 event at this point.
Zheng Lu: So you are suggesting that your competitors will have already mass production scheduled than you?
Joseph Tung: I can't speak for our competitors.
Operator: And right now, we're having Sebastian Hou from CLSA.
Sebastian Hou: So a few follow-up. The first one is on the CapEx. So it seems like the government is guiding CapEx flat for this year. So I wonder, have you -- this -- such decision, have you factored in the potential capacity alignment with SPIL?
Joseph Tung: To some degree, yes.
Sebastian Hou: Okay. So great. Okay. So can we -- and how about the -- in terms of the split or roughly split between testing and packaging? So can we assume that testing still at a -- I'm sorry, not the split. I mean to say compared to last year, I mean, in terms of the increase or decrease. So testing will probably growing, packaging probably declining? Is that the way to look at it?
Joseph Tung: You mean this year compared to last or what?
Sebastian Hou: Yes, yes, this year compared to last year.
Joseph Tung: Yes. I think this year, the percentage for assembly will be higher than last year.
Kenneth Hsiang: Yes. And tests would be lower than last year. So last year, we did spend significantly on cash.
Sebastian Hou: Okay. I mean, percentage-wise? So we mean, the testing this year, the CapEx will go down year-on-year?
Joseph Tung: Yes. Because I think, bulk of the investments were made last year.
Sebastian Hou: Okay. Got it, got it. My second question is on the OpEx ratio target. I think, last time, or last few quarters, the company were confident to lower that OpEx ratio to 2018 level, which is from my point, 4%, or something like that. And what's your -- did that kind of the target still hold or achievable now?
Joseph Tung: All things being equal, I think, the -- we're still hopeful that we can reach that target. But I think, it's -- at this point, it's just very, very difficult for us to predict, actually. I think, the second half is really just too much variables involved. And so I think, first half, we're still on track. But second half, it really depends on the situation.
Sebastian Hou: Right. Okay, okay. But if we go back, I mean, a quarter or 2 quarters ago, when you set out that target, given that you haven't had a final green light from MOFCOM on SPIL's mergers. So I would presume -- assume that you didn't factor in the potential R&D or OpEx synergy then, when you set out that target, right? But now you can. Or you have already?
Joseph Tung: What do you mean?
Sebastian Hou: I mean, when you set out the -- lowering the OpEx ratio this year, in January, February or -- yes. And before you get a final approval from SPIL's mergers, did you factor in the potential synergy in that target?
Joseph Tung: That's being considered, but I wouldn't say that we had a clear idea of how much savings so to speak. it's coming from the lift of the restriction.
Sebastian Hou: Okay, understand. Third question is on the -- I think, as a CFO, you've mentioned that you have the plan to bring down leverage in 24 months. So do you have any target debt ratio -- debt-to-equity ratio in mind? I mean, the last -- in the last year, we're sitting at like 100%. What's the target in 24 -- for -- in 2 years from now?
Joseph Tung: I think, Ken mentioned that our target is, in the next 24 months, we want to bring our net debt-to-equity ratio to 60% to 65%.
Sebastian Hou: Okay, okay. That's pretty helpful. Is it more near decline? Or it will be more centered in the later part of the 24 months? I mean, is it more of a near decline? I mean, the next year, or the next 24 months, or would you like to see more of a step function, maybe a slow decline this year in the first couple of months and broader decline in the 13 to 24 months?
Kenneth Hsiang: What?
Joseph Tung: Well, we're going to play by years, but that's the target.
Sebastian Hou: All right. Okay. The -- my next and fourth question is about -- what's your sense about why your customers or supply chain -- worrying about the supply chain disruption. So it looks like everybody has been stockpiling inventory, very material inventory, with their product's inventory. And what's your sense on that? Are you getting by requests from your customers, asking to do so? And are you also preparing some of the higher materials inventory just in case?
Joseph Tung: Well, I think, we are producing, based on the forecast that was given to us. I don't think we're in a position to comment on our customers' inventory levels. And they have their plans, they have their schedules. We're here to serve them and to meet their demand. I think, that's the position we're taking now.
Sebastian Hou: All right, okay. Then how about also, for example, you do packaging, I mean, to resource the substrate? I think, this is also probably some of the components of concerns, a couple of months ago. So how are we looking at that? Because I heard -- we heard that some of your -- the OSAT company have been building up those more than safe level of the inventory, like procure I/O substrates. So do we haven't done so? Or are we -- we are not so worried about that?
Joseph Tung: No. I think, there was some spot disruptions. But the overall, we can -- we are still at the normal level at this point.
Operator: And right now, we're having Rick Hsu from Daiwa Securities.
Rick Hsu: The first question, as usual, is a housekeeping about your utilization rates across the wafer bump in flip chip bumping and also testing in Q1? And what do you expect for the second quarter?
Joseph Tung: I think, the first quarter, we were running at around 75% to 80%, as expected. And going to second, I think, it will be around 80% across the board.
Rick Hsu: Okay. Around 80% plus for second quarter, right?
Joseph Tung: Right.
Rick Hsu: All right. So second question is, if I look at your competitor, Amkor, who also -- which also released their guidance for the second quarter. The revenue roughly will be declining by around 10% quarter-on-quarter. So should I interpret market share gain from you guys continue in the second quarter? Or Amkor try to lower bar their second quarter guidance because of COVID-19? What should I -- how should I interpret this discrepancy between...
Joseph Tung: Well, I think, we have different exposures, we have different customer mix, we have different focus areas. I think, the overall situation is very different between the two companies. And -- but I think, as I said before, when there's more uncertainties in front of us, I think, the customer will pick the strongest player in the -- to better secure whatever they're demanded.
Rick Hsu: Okay. All right. Fair enough. So -- all right. The last question from me is, I guess, from the supply chain angle, right? You guys and the Samsung foundries are sitting in the same supply chain. But listen to the Hsinchu measures and TSMC and UMC, I guess, their first half business outlook looks as resilient as yours, but they're also saying something about the customers' inventory per bill ahead of the second half. So UMC said that they don't rule out any possibility of all the cancellation in the second half. So I guess, UMC -- both UMC and TSMC, try to tone down your second half outlook because of customer inventory per bill. Do you have any color on that?
Joseph Tung: Like I said, I think, the front-end wafer fabs may have a better visibility on the overall inventory situation. But we're just producing for our customers forecast, and we're not in such a position to comment on the overall inventory. Of course, like I -- like we said, the second half is very, very -- how I put it? It's very uncertain. There could be a lot of factors playing in the second half. So we certainly cannot rule out that some forecast reductions and/or push out and things like that will happen. I think, that's why everybody, including ourselves is much more conservative in trying to make any comment on second half.
Rick Hsu: Yes. I know it's quite difficult to get a number, right? But just one quick follow-up, if I may. So when I look at the foundries market outlook for this year from TSMC, UMC, I guess, they're still looking probably around a single digit, right? It's a mid-single, low single-digit growth, year-on-year. So do you expect the global offset the market revenue this year to follow the same pattern?
Joseph Tung: Yes. I think, whatever wafers that's been producing needs to be packaged. I think, as long as they continue to crack out wafers, we're here to take on the back-end part of it.
Operator: Now we're having Gokul Hariharan from JPMorgan.
Gokul Hariharan: A couple of things. So first of all, I know that you're not offering guidance in second half, but could you talk a little bit about which areas you are feeling more comfortable about from a vertical perspective and which areas are where you're taking service because it's likely to be bigger, as we think about second half?  And the other question I have is a bit more longer term. I think, if you think about the last 4, 5 years, open industry growth has actually been quite slow, and they're probably behind foundry and behind semiconductor ex-memory kind of growth rate. How should we think about this going forward, now that you are creating a more consolidated industry as well potentially some price discipline also comes in? Should we expect that OSAT should grow in line with semis or still we're going to see a discount to overall industry growth when it comes to the OSAT industry itself?
Joseph Tung: Well, I think, like everybody else is saying, I think, right now, in terms of communication, at least for the time being, infrastructure seems to be more resilient than others. And we are also seeing that data center, high-performance computing because of the home schooling or home working, that seems to be having a better momentum. I think, given the situation at this point, I think, that's how the industry will move, particularly into the second half. I think that we're sharing the same view as everybody else. In terms of CapEx, I think, you're correct that the overall OSAT CapEx investments were behind the front end for the past few years. But in the -- I think, starting from 2018 going into '19 as well as in '20, I think, we're sort of in the catching up mode. And also because of the -- a lot of the changes or investment in terms of technology or new applications, these CapEx are required to be made, so as to meet the change in demand.
Gokul Hariharan: Okay. Could you talk a little bit also about what you expect on -- are there still pockets of IDM, that could actually get outsourced and what is your appetite to go after some of these IDM businesses, given we have seen that some of your Chinese peers have been a lot more aggressive in buying some of these captive -- was that -- captive assembly and test operations and making bigger capital investments in this, as we go through downturn situation in the second half of the year?
Joseph Tung: Well, I think, the outsourcing will continue. I think, the overall complexity of back-end assembly and test is getting far more complex than before. And therefore, the investment of which becomes more difficult for the IDMs to continue. And I think that's the added complexity or the technology investment is really the driver for continuous outsourcing more. So I think, that's the general trend. I don't think it will reverse anytime soon.
Gokul Hariharan: And the -- does ASE feel like it is the right decision to potentially go and buy some captive assembly and test business to expand the revenue base? Or you think it's better to be more organic?
Joseph Tung: It really based on the situation. I think, we don't buy capacity just for the sake of capacity. I think, it has to complement with the -- either the business portfolio or technology portfolio that we have on hand in any particular area, if that makes economical sense as well as strategic sense for us, either our peers or IDM captive can now be considered as well as it makes sense.
Gokul Hariharan: Okay. Last question for me. On the EMS side, could you talk a little bit about how your footprint China versus non-China will be evolving, especially as we have some of the Asteelflash acquisition coming in as well as some of the investments that U.S. by itself has done outside of China. Could we talk maybe what it looked like last year and maybe what you want it look like in maybe a couple of years' time.
Joseph Tung: I think that up to last year, well, in terms of USI, up to 3/4 of their capacity is in Mainland China, and I think that ratio is coming down a bit because of the -- a lot of different reasons, I think, we're expanding Taiwan operation. We're expanding in Poland, Mexico and of course, after we closed the deal with Asteelflash, I think that percentage will come down further, I think, most of Asteelflash. One of the primary reason why we're interested in Asteelflash is because of their geographical coverage, which complements USI's current operation. And also on the product side or device side, it also complements with USI, where they have a far large exposure in non-3C segments, where USI is basically more focused on 3C. In terms of business model, it's also complementary because the Asteelflash primarily are focusing on early stage, small volume, more variety type of business, where USI is more on the mass production of high volume products. And I think, the combination is complementary and many different aspects of the overall business, which I think brings a lot of value to us.
Operator: Next on your line Szeho Ng, China Renaissance.
Szeho Ng: My question is regarding the company's priority on capital allocation say between CapEx, debt repayment and dividend. Can Joseph elaborate a little bit on that.
Joseph Tung: What if I say, I put them with the last?
Szeho Ng: Well, maybe I'll try a different way. The dividend policy, should we expect for this year's dividends to be at least flat from last year's level?
Joseph Tung: As I said, we do have a -- we are putting some priority over the deleveraging. And hopefully, that can be done through better profitability going forward. But we will need to balance off to look at different interest and try to have balanced approach to not necessarily satisfy everybody, but then to keep everybody comfortable.
Szeho Ng: Okay. Maybe on the net gearing side, yes, 60%, 65% is not the optimal level, right? You still have more room to go, if you guys have more time to bring down the spilling.
Joseph Tung: Well, I think optimally it's is a very subjective term. And I'm not sure whether 60% or 65% is the optimal or not. But I think that's the -- that's just the first stage target that we're aiming at. I think, when there's uncertainty in front of us, I think, it's prudent that we kind of strengthen our overall financial standing and if we can do more, we will do. We will try to achieve whatever we set out to go.
Szeho Ng: Okay. All right. Okay. Got you. And maybe the last one on advanced packaging, maybe on the fan-out test stuff. How should we expect to have more meaningful revenue to contribution, let's say, around maybe a few hundred million of U.S. dollars revenue contribution a year?
Joseph Tung: Well, our target is to add another -- we'll have incremental fan-out revenue of $50 million, a year. We have been successful in reaching our targets. And this year, I think, we are fairly confident that we will not only hit the target but also exceed our target for this year.
Operator: Now our line is open to Randy Abrams, Crédit Suisse.
Randy Abrams: I wanted to follow-up on the Asteelflash. Could you give the update on timing to close and then of view sales and margin with the incremental change to the EMS or USI division after you consolidate?
Joseph Tung: Because of the jump -- current jumping role, I don't think we can give you the numbers at this point. But in terms of the schedule, I think, we're still aiming to close this field by end of second quarter or early first -- third quarter.
Randy Abrams: Okay. And then if I could ask on the deleveraging process. Originally, when you acquired SPIL, I think, your attention was you could achieve low cost debt. I'm curious now, if you think about equity financing to help deleverage? Or that's still largely off the table?
Joseph Tung: Like I said, we want to proceed with this deleveraging through our own internal peso by more -- taking a closer look at our overall CapEx spending. And if it's preferred, we were also looking at monetizing some of our invested assets. So that will be the source, the main sources for our deleveraging effort. At this point, we don't -- we do not have a plan to make a -- to do a capital injection through public offerings.
Randy Abrams: Okay, great. That's helpful. And the last question, just to clarify, in terms of the order pattern, and it does get to OSAT. The other piece of pricing, if they are still counting on this third quarter rebound like you get the normal product ramps. I'm curious, 2 parts on that. Have you seen last few weeks changes where it feels like orders held firm and you mentioned some upside. But have you noted any change last few weeks, as we progress through this, that customers have actually turn more conservative? And then on the part about the pickup, I know you're not giving kind of full year, but in terms of the launches, are you still seeing that normal pattern? So you may get inventory corrections in some place. But do you still see that pattern or lift in terms of those product launches? Or you see some delayed activity this year?
Joseph Tung: No. I think, there's -- in terms of customer forecast, there's ups and downs in different customers. I don't think -- at least for second quarter, we're not seeing anything abnormal. Again, going to second half, it's -- we really don't have that much of a visibility at this point.
Operator: And right now, we're having Bruce Lu from Goldman Sachs.
Zheng Lu: I want to go back to the profitability of SiP. I think, we do have the conversation to -- regarding to the AGM gross margin going back to prior acquisition level, which is like mid- to high-20s. I think, I thought that SiP is one of the important factor to bring out the profitability. So I'm actually very surprised to see that the SiP profitability is only like corporate average level. But that stated, can we, based on the assumption that, that is the structural profitability, which means that your production still and yield is at the comfortable level? Do we still expect the SiP -- please.
Joseph Tung: I think, we need to make a distinction between SiP business on the ATM side, or on the EMS side. I think, the business patterns in three is different. On the ATM, I think, whatever the projects that we're taking off, at this point tend to have very similar, although, it's -- when I say it's close to corporate average, it's close to corporate average because we do have some legacy projects that may be a bit lower. But whatever new business that we're getting, our target is to get the similar margin that we're getting from our other part of the business. So that's the overall strategy we're taking. In terms of EMS, I think, at the growth level, because of the different devices, your bond cost is very different. Some with higher material cost, some with lower. So on the gross margin, it's kind of difficult to compare. But what we're saying is we want to have this business generating a similar operating margins for us. And that's what we're aiming at, at this point.
Zheng Lu: I see. Understand. Another thing is that ASE used to have some investment in substrate, as a material, but the EMS sides for last couple of years. But we definitely see the new trend, the importance of the structure as a future SiP is getting a lot higher. Does ASE have any plan to increase your investment in substrate?
Joseph Tung: We have been a bit conservative on the substrate. What we're now focusing on is to -- just to pick and choose some of the SiP projects that we're taking on and trying to find the suitable product for us to make ourselves. But by and large, I think, the variety of these substrates using different SiP type of projects are very -- severity is very large. There's a wide range of different products that I don't think a single company can address everything. We just had to -- with our resources on hand, we need to be selective in choosing the one, that's most suitable for us.
Zheng Lu: Understand. Okay. One last question for me is, given the current political situation, does ASE plan to increase your capacity in United States?
Joseph Tung: We're not ruling out anything. We will continue to evaluate things. But right now, we don't have a established plan to have anything. U.S. or in Europe and in some other areas, it really depends on how things are moving, going forward. And for us to make a meaningful investment, we need to have -- we have to look at the overall situation and choose the right location for us to expand. I don't think, it's prudent for us to make any investment, based on political reasons.
Zheng Lu: I see. So what is the lead time for you, if you want to make a investment or expand your capacity in U.S.? I believe you have some capacity there already.
Joseph Tung: You mean in the U.S.?
Zheng Lu: Yes.
Joseph Tung: We do have some test operation in the U.S. and serving mostly to handle some of the engineering tests that our customers have. But in terms of lead time, I think, it really depends. You're setting up a garage shop, it only takes days, but for a real meaningful operation, I don't have a clear idea. It depends on the regulations and the rules, all the license. And there are so many different part -- pieces involved. It's very hard to even...
Kenneth Hsiang: I think, we don't have any more questions online. Thank you for calling in to our conference call. See you next quarter.